Operator: Hello and welcome to BD's Second Fiscal Quarter 2016 Earnings Call. At the request of BD, today's call is being recorded. It will be available for replay through May 12, 2016, on the Investors page of the bd.com website or by phone at 800-585-8367 for domestic calls and area code 404-537-3406 for international calls using confirmation number 83710101. I would like to inform all parties that your lines have been placed in a listen-only mode until the question-and-answer segment. Beginning today's call is Ms. Monique Dolecki, Vice President of Investor Relations. Ms. Dolecki, you may begin.
Monique N. Dolecki - Becton, Dickinson & Co.: Thank you, Christie. Good morning, everyone, and thank you for joining us to review our second fiscal quarter results. As we referenced in our press release, we are presenting a set of slides to accompany our remarks on this call. The presentation is posted on the Investor Relations page of our website at bd.com. During today's call, we will make forward-looking statements and it is possible that actual results could differ from our expectations. Factors that could cause such differences appear in our second fiscal quarter press release and in the MD&A section of our recent SEC filings. We will also discuss some non-GAAP financial measures with respect to our performance. A reconciliation to GAAP measures can be found in our press release and its related financial schedules and in the slides. A copy of the release including the financial schedule is posted on the bd.com website. As a reminder, until we annualize the acquisition of CareFusion in the third quarter of fiscal year 2016, we will speak to our revenue results on a comparable currency-neutral basis, which includes BD and CareFusion in the current and prior year periods. We believe this provides additional visibility into the new BD. The comparable current period revenues are adjusted to exclude a small impact related to a purchase accounting adjustment to record CareFusion's deferred revenues at fair value as of the acquisition date. In addition, comparable prior year revenues are adjusted to exclude sales related to the terminated agreement with CareFusion for the sale of Fisher & Paykel's respiratory care products. The fiscal year 2016 comparable revenue guidance provided today will also exclude the year-over-year impact of this contract termination. The impact to the bottom line is not material and is included in our EPS guidance. Details of the purchase accounting and other smaller adjustments and the comparable basis revenue results can be found in the reconciliations to GAAP measures in the financial schedule, in our press release or the Appendix of the Investor Relations slides. Leading the call this morning is Vince Forlenza, Chairman, Chief Executive Officer and President. Also joining us are Chris Reidy, Executive Vice President, Chief Financial Officer and Chief Administrative Officer; Tom Polen, Executive Vice President and President of the Medical Segment and Linda Tharby, Executive Vice President and President of the Life Sciences Segment. It is now my pleasure to turn the call over to Vince.
Vincent A. Forlenza - Becton, Dickinson & Co.: Thank you, Monique, and good morning, everyone. As we stated in our press release, we are very pleased with our second quarter growth profile. Our results this quarter highlight our consistent performance and the benefit of our diverse geographic and product portfolio, with both segments contributing to revenue growth. We continue to drive strong underlying margin expansion through the achievement of operational efficiencies and continuous improvements, coupled with the positive impact of cost synergies. As many of you already know, in March, we celebrated the one-year anniversary of the closing of CareFusion, and we are extremely proud of our achievements over the past year. We have been acutely focused on the integration and a significant amount of work driven by the integration teams across the businesses. In terms of talent retention, we have a strong team that's in place that's comprised of both legacy CareFusion and legacy BD associates. They've been helping drive the company to our next phase of growth as a combined entity. In terms of our customers, we are becoming increasingly more relevant, as they're looking for providers that can really help them improve the quality, efficiency and safety of processes. We have made good progress on this front 12 months post close and feedback from our customers has been extremely positive. Also, we have been actively working to create new growth opportunities for CareFusion products and expanding their global reach by leveraging BD's global infrastructure. We are well into the registration process with dozens of products across multiple geographies. I will provide more details on this later in the presentation. Lastly, we are seeing strong productivity as we are over-delivering on our initial cost synergy capture commitments. As you already know, we've increased our total cost synergy target by about $100 million over the deal's horizon. We are clearly advancing our strategy to improve medication management. The value we bring to customers around the world has become increasingly evident as we make progress integrating these two great companies. We're also pleased to inform you that the annual strategic review of our portfolio is now complete. In March, we announced BD and Apax Partners, a private equity firm, will form a joint venture with Respiratory Solutions business. Apax will establish and stand up a newco, enabling more strategic focus and investment to build a leading global respiratory company. And more recently, we announced the divestiture of our vertebral augmentation solutions business. This product line was not aligned with our strategy and we believe it can see more robust investment in growth under a different owner. The completion of our current strategic review process enables the company to remain focused on the areas, we believe, are high-growth and aligned with our core capabilities. In addition, during our last call, we let you know about our intent to reinvest the savings from the suspension of the medical device tax that went into effect in January. Since that time, we have already allocated increased R&D dollars to highly strategic initiatives. Not only will this help to fund – drive future growth for the company, but it will also enable better outcomes for our customers and their patients. Looking forward to the total year, we are confident in our outlook and are maintaining our fiscal 2016 currency-neutral revenue and EPS guidance. We are also increasing our adjusted guidance to reflect lower currency headwinds due to the weakening of the U.S. dollar relative to the euro and other currencies. Moving to slide five, I will review our second quarter revenue and EPS results, which I will speak to on a currency-neutral basis. Total company revenues grew 5.3% or 5.2% on a combined organic basis. Adjusted EPS of $2.18 was ahead of our expectations, as the quarter benefited in part from some timing within the year. Now, I'd like to turn things over to Chris, for a more detailed discussion of our second quarter financial performance and our updated fiscal year 2016 guidance.
Christopher R. Reidy - Becton, Dickinson & Co.: Thanks, Vince, and good morning, everyone. As Vince just mentioned, the breadth and geographic diversity of our portfolio contributed to a very solid second quarter results. Total second quarter revenues of approximately $3.1 billion grew 5.3% on a comparable basis or 5.2% on a combined organic basis. This was slightly ahead of our expectations as the quarter benefited by about 50 basis points from the timing of revenues which occurred earlier than expected. I'll discuss this as I take you through the business results. BD Medical's second quarter revenues increased 6.1%, reflecting solid growth across the segment. Medication and Procedural Solutions growth was 4%, which reflects strength in infusion therapy, safety engineered products and infection prevention. Medication Management Solutions revenues grew 6%, driven by strong dispensing capital installation. ES demand was strong in the quarter driven by several large customer conversions, and we saw a positive impact from our efforts to simplify the installation process. We also saw solid growth in the infusion business where we continue to expand our leadership position. Growth in Diabetes Care was 3.6%, driven by pen needles and syringes. Pharmaceutical Systems growth of 11% reflects the strong growth in SAIS. Performance in this business also reflected the favorable timing of customer orders that occurred one quarter earlier than we initially anticipated. Respiratory Solutions revenues increased 10.9%, reflecting the timing of capital placements, which similarly benefited the quarter, as the placements were expected to occur later in the fiscal year. BD Life Sciences' second quarter revenues increased 3.4%, driven by solid growth in pre-analytical systems and diagnostic systems units. Preanalytical Systems growth of 5.7% was driven by safety engineered products in the U.S. and solid growth in Europe and emerging markets. Diagnostic Systems growth of 4.6% was a result of strong growth in core microbiology, including ID/AST and BD MAX assays. Growth was also aided in part by an increase in flu activity in the U.S. While the flu season is still mild in comparison to the prior year, the timing of the late flu season had a positive benefit year-over-year in the quarter of 10 basis points. Biosciences revenues were about flat when compared with last year's second quarter. Strong double-digit growth in the U.S. was driven by continued increased demand for high-parameter instruments and growth in the research reagents. This was offset by a 7% decline in Europe due to a difficult comparison related to timing of orders in the prior year. In addition, growth was negatively impacted by clinical tender delays in Africa associated with our HIV monitoring business related to the World Health Organization guidelines. Moving to slide eight, I'll walk you through our geographic revenues for the second quarter on a currency-neutral basis. U.S. revenues increased 5.7%. This was primarily driven by strength in Medication Management Solutions, Medication and Procedural Solutions, Biosciences and Diagnostics and was aided in part by the aforementioned timing of revenues. BD Medical's performance reflects strong dispensing capital installations and solid growth in the infusion business, as well as strength in infection prevention and interventional specialties. BD Life Sciences growth reflects continued strong performance in the Biosciences business, driven by demand for high-parameter research instruments and reagent sales. Diagnostic Systems had strong growth in microbiology, including Kiestra and blood culture, BD MAX, as well as the benefit from the increase in flu activity during the quarter. Moving onto international, revenues grew 4.8%. This is below our normal growth rate and primarily reflects the aforementioned clinical tender delays in Africa. I'll provide more details on this in a moment. The Medical segment grew 6.9%. This reflects solid performance in Medication and Procedural Solutions, driven by sales of safety engineered products, particularly in China, and strong dispensing installations in Medication Management Solutions. Growth was aided in part by the aforementioned timing of customer ordering patterns and capital placements. The Life Sciences segment grew 1.4%. This reflects strong growth in Preanalytical Systems in Western Europe and Asia Pacific, and strong growth in Western Europe and Latin America in Diagnostic Systems driven by core microbiology. This was partially offset by the aforementioned tender delays in Africa and a difficult comparison in Europe in Biosciences. On slide nine, emerging market revenues grew 5.1% currency-neutral, with developed markets growing 5.3%. The second quarter growth rate in emerging markets reflects solid growth in China and Latin America, partially offset by a decline in EMEA. China growth for the second quarter was 9.4%. Double-digit revenue growth in our Medical segment was driven by continued strong demand for consumables across all of our businesses in the segment. Within our Life Sciences segment, strength in Preanalytical Systems was offset by the slowdown of capital spending in Diagnostic Systems as communicated on our call last quarter. For the total year, we continue to expect China to grow in the low double-digit range. We now expect total emerging markets to grow in the high single-digit range compared to our previous guidance of 9% to 10% growth. This is offset by stronger performance in developed markets growing between 4% and 4.5% for the second half of the year. Our revised guidance for emerging markets reflects the aforementioned impact in Africa to our Biosciences unit from the WHO guidelines. In addition, since we last provided guidance in February, the government of Saudi Arabia announced the new austerity measures, which affect the healthcare industry. This has begun to impact our business in that particular region and we saw a small impact in the second quarter. We view the situation in Saudi Arabia as temporary, though the timing of reversal may not occur within this fiscal year. Our new guidance range contemplates emerging markets growing between 10% and 12% for the second half of the year. Moving to global safety on slide 10, currency-neutral sales increased 6.7%. Safety revenues in the U.S. grew 4.5% and international sales also grew 9.9% currency-neutral, with continued strength in Europe, as compliance with safety legislation continues. Safety revenues grew 15.6% in emerging markets. Medical safety sales grew 8%, primarily driven by safety catheters. Life Sciences safety sales, which are driven by our Preanalytical Systems unit, grew 4.6% in the quarter. Slide 11 recaps the second quarter income statement and highlights our currency-neutral results. As I mentioned a few moments ago, revenues grew 5.3% on a comparable currency-neutral basis. Pricing was slightly positive in the quarter. Moving down the P&L, I will focus on the comparable basis figures, which include CareFusion's results from the prior year, in order to give a better indication of our performance. Gross profit improved by 7.9%. I'll provide more color on gross profit on the next slide when we look at the underlying performance and the impact of currency. SSG&A as a percentage of revenue was 24.5%. We are very pleased with the leverage we're getting, which includes the benefit of cost synergy capture. R&D as a percentage of revenue was 5.9%. Our expenditures in the quarter were slightly lower than our full year expectation of 6% to 6.5% of revenues due to the timing of spending. We continue to invest in new products and innovation and expect to further reinvest the benefit from the medical device tax suspension in the back half of the year. Operating income grew 24.8% reflecting strong P&L leverage. In addition, as we've previously discussed, there were a number of items that negatively impacted operating margin in the prior year in the CareFusion business. I'll address the underlying growth and operating profit in more detail on the next slide. Our tax rate declined 70 basis points to 20.6%, below our full year expectation of 21% to 22% as the quarter included some timing benefits. As Vince discussed earlier, adjusted earnings per share were $2.18 which is a 44.7% increase versus the prior year. This reflects our solid growth profile and strong underlying margin expansion. In addition, growth benefited from the timing of revenues earlier in the year than expected as well as timing within the year related to R&D expenditures and tax as we just discussed. Slide 12 illustrates our gross profit and operating margin for the second quarter presented on a comparable basis. Strong gross profit margin performance of 170 basis points was primarily driven by robust operational performance and continuous improvement initiatives and to a lesser extent from favorable raw material prices. Strong operating margin performance of 370 basis points was primarily driven by gross margin expansion, combined with the achievement of operational efficiencies and the positive impact of cost synergies. In addition, timing of R&D expenses and the benefit of the medical device tax suspension aided operating margin in the quarter. Also you will recall several items drove lower second quarter operating margin for CareFusion in the prior year. Currency had a slightly negative impact on both gross profit margin and operating margins. Moving onto slide 14, since we provided guidance in February, the U.S. dollar has weakened against the euro and other currencies. As a result, we are raising our adjusted EPS guidance by 2 percentage points or $0.13 from a range of $8.37 to $8.44 to a range of $8.50 to $8.57. We are maintaining our currency-neutral adjusted EPS guidance of $9.01 to $9.08, as we expect the second quarter tax timing to reverse and R&D spend to ramp over the back half of the year, which includes reinvestment of the medical device tax. We remain extremely pleased with our performance and our ability to execute and deliver on our commitments. Turning to slide 15, I'd like to walk you through the additional elements of our guidance for the full fiscal year 2016. In summary, we continue to expect comparable organic revenue growth of 4.5% to 5% on a currency-neutral basis, with the back half of the year growing between 5.5% and 6.5%. This contemplates the third quarter growth rate to be slightly lower than our full year guidance range and the fourth quarter to be well above the full year guidance range. On a reported basis, revenue growth for the total year is expected to be between 21.5% and 22%, which reflects the currency headwind of about 300 basis points, an improvement from our prior guidance of about 450 basis points of currency headwinds. The U.S. dollar has weakened against the euro and most currencies since we last provided guidance in February. While our guidance assumes a euro to dollar exchange rate of $1.13 for the rest of the year, which is better than the actual rates in the second half of last year, we see some remaining FX headwinds over the second half as non-euro currencies remain unfavorable year-over-year. We continue to expect growth of 4.5% to 5% in BD Medical and 4% to 4.5% in our Life Sciences segment. Based on our current view of the environment, we continue to expect pricing to be about flat for the year. Beyond revenue and EPS, all other P&L guidance from February remains unchanged. Now, I'd like to turn the call back over to Vince who'll provide you with an update on our key initiatives and product portfolio.
Vincent A. Forlenza - Becton, Dickinson & Co.: Thank you, Chris. Moving onto slide 17 and our updates on new product innovation, strategic and business initiatives and partnerships and collaborations. Starting with new product innovation, within our Life Sciences business, our Preanalytical Systems business launched two new products this quarter. The UltraTouch Push Button Blood Collection Sets will deliver significant improvements in patient outcomes and lab efficiency. The BD Barricor tubes use gel free technology, which significantly improves sample quality and lab turnaround time. The initial market feedback on both these products has been extremely positive. In our Biosciences business, as evidenced by our U.S. growth rate this quarter, we've seen very positive market uptake of our high-parameter instrumentation, the FACSymphony X-50 and X-20. In our genomics business, we anticipate launching our GenCell CLiC library preparation platform and our FACSseq cell sorter designed specifically for genomics applications later this fiscal year. Within strategic and business initiatives, as we discussed earlier, we have completed our current portfolio review having recently announced the Respiratory Solutions joint venture and sale of the vertebral augmentation solutions business. We remain focused on the areas we believe are high-growth and aligned with our core capabilities. We've also made progress with our product registrations having successfully registered more than 50 CareFusion products in over 20 countries. In addition, we have submitted registrations and are awaiting approval for an additional 25 products. This is consistent with our plans to achieve revenue synergies and we remain on track for them to begin to materialize in fiscal year 2017. And in the areas of partnerships and collaborations, we remain excited for the launch of our infusion sets, which we expect will move to broad commercial release with Medtronic in early fiscal year 2017. We believe this product will improve the consistency of insulin delivery by significantly reducing flow interruptions, simplify the users' experience and increase the patients' overall satisfaction with insulin pumping. We recently entered into a strategic partnership with the Parker Institute for Cancer Immunotherapy and will play a part in the Institute's vision of reducing cancer to a manageable disease. Support from the Parker Institute will help us advance our new cell sorter program, while bringing our high-parameter cell analysis solutions to these researchers, as they work to discover the next breakthrough in Cancer Immunotherapy. As you can see, we are executing on our strategy and continue to have strong opportunities there to drive growth and innovation. We look forward to updating you as we continue to make progress. Moving on to our business update on slide 18, we continue to make progress with our cost synergy capture. Our G&A functional transformation continued in the second quarter, and we made progress with our back-office functions and with harmonizing our IT infrastructure. We remain on track to achieve our FY 2016 cost synergies and continue to expect $325 million to $350 million in total cost synergies as we exit fiscal year 2018. Contributing to our operational efficiencies is the benefit of sustained lower oil prices on raw material costs as we discussed earlier. The consistent solid performance of our businesses, combined with operating efficiencies, cost leverage and cost synergy capture, is driving continued underlying operating margin expansion. In addition to the 100 basis points of operating margin expansion we achieved last year, we expect another 170 basis points to 190 basis points of expansion this fiscal year. Now, I'd like to reiterate the key messages from our presentation today. First, this was a solid second quarter. Both segments performed well and our performance highlights the benefits of our diverse portfolio, both from a product and geographic standpoint. Second, we have made significant progress on the acquisition of CareFusion. The value we can bring to customers around the world has become increasingly evident as we integrate these two great companies. Third, we have taken steps to optimize our portfolio. In doing so, we are positioning ourselves in higher growth areas which are aligned with our core capabilities. By taking these actions, we are delivering the most value to our customers. Finally, we are confident in our outlook for the full fiscal year. We're maintaining our currency-neutral revenue guidance and raising our adjusted EPS. We believe we are well-positioned to continue our track record of delivering value to our customers and shareholders. I look to the future with optimism. Thank you. We will now open the call to questions.
Operator: Thank you. The floor is now open for questions Thank you. Your first question is coming from David Lewis of Morgan Stanley.
David R. Lewis - Morgan Stanley & Co. LLC: Good morning.
Vincent A. Forlenza - Becton, Dickinson & Co.: Morning, David.
David R. Lewis - Morgan Stanley & Co. LLC: Vince, two questions for you, one for you and one for Chris. I guess, the first one is the theme that you're showing the last several quarters is one that the whole device industry is showing this quarter, which is this polarization between better U.S. performance and slightly softer ex-U.S. performance, specifically emerging markets. Talk to us about how much of this, in your mind, is the quarter or just the trend that BD has been seeing for several quarters. And what's driving that strength in the U.S. in your opinion?
Vincent A. Forlenza - Becton, Dickinson & Co.: Well, I think there's a couple of things driving the strength in the U.S. Number one is, I think you have seen a stabilization in the U.S. marketplace in terms of healthcare and I think there's a benefit out there from the people that do have healthcare coverage, especially the expansion of Medicaid. But the other thing that you are seeing is that our businesses are performing quite well. You heard us talk about in the Biosciences business, the launch of those new products. We have a whole series of new products coming out, and I mentioned and specifically the high-parameter work that's going on. So yeah, that showed up in this quarter right now, but that's going to continue as we move through the year. You also saw good performance in Diagnostics, because we're getting some traction, blood culture and Kiestra, that is moving forward, Kiestra moving forward in the U.S., and then good performance across the Medical businesses where we're improving our competitive position in MMS. And so, you see all of that coming together. Europe, I think, once again, I think has stabilized. And this really – of course, you have to drop out the CareFusion factors, but there was negative timing in Biosciences, but you've got the same product launches that are occurring there. And quite frankly, Japan is performing better for us as well. Now, on the other side of the coin, the situation in China seems to have stabilized. We're seeing good performance on the medical device side of the business. And the situation really hasn't changed all that much on Diagnostics on the capital side, but it had stabilized. And so, we're getting good growth in China. We didn't mention it. We continue to get good growth in India. We're getting good growth in Latin America. There were some one-time events this quarter, which you heard in terms of Africa and Saudi Arabia. And Saudi Arabia is more of an impact in the back half of the year. So yes, this is slightly less in emerging market share, but the mix is quite good.
Operator: Thank you. Your next question is coming from Mike Weinstein of JPMorgan.
Michael Weinstein - JPMorgan Securities LLC: Thank you, and congratulations on the quarter. Let me start if we went back a quarter and the Street was concerned about the performance in the fiscal first quarter, revenues grew 1.8% organic and the Street was worried just about the ability to see the acceleration. Now, we're three months later, and you grew 5.3% organic this quarter, so essentially, what you said would happen happened. Can you just talk a little bit as you go into the back half of the year? I just want to make sure I understand the commentary on the cadence of the quarters. I know the comp in some different respects in the fourth quarter is easier than the third quarter. I just want to understand just the commentary relative to third quarter being a bit below the full year guidance and the fourth quarter being materially above. Thanks.
Vincent A. Forlenza - Becton, Dickinson & Co.: Yeah, Mike. I'll have Chris walk you through that, because there's some complications here. You got to go back to last year to understand what was happening, but Chris will walk you through.
Michael Weinstein - JPMorgan Securities LLC: Yeah.
Christopher R. Reidy - Becton, Dickinson & Co.: Yeah, so the best way to – the key to understanding the second half growth trajectory is really to focus on the absolute dollars of revenue that we're achieving this year versus last year. We're actually up against a tough comparison in the third quarter, because in terms of absolute dollars, that was our highest quarter last year. So you got to really look at those absolute dollars. Looking at growth rates is a little misleading, because the growth rate last year was negative in CareFusion in the third quarter, but that was more about the comparative prior year, but the absolute dollars are the grow over. And then, as you model out the year, based on the guidance that we just gave you in terms of growth rates for the third quarter and fourth quarter, you'll see steadily improving sequential revenue dollars for all four quarters this year. So we really feel good about the trajectory, particularly on a sequential basis this year. It's all about the compared to last year revenue dollars.
Vincent A. Forlenza - Becton, Dickinson & Co.: Mike, if you think about it, there were two events at CareFusion, two different compensation events that caused the pattern to be highly fluctuate with the first quarter being very high, the third quarter being very high, and then we had the flu. So you got to go back and look at those absolute numbers as Chris was saying. And then, you'll see that our growth this year, actually, as we look at the whole year, is actually quite smooth, but the growth rates jump around because of that. Thanks for your question, Mike.
Operator: Thank you. Your next question is from David Roman of Goldman Sachs.
David Harrison Roman - Goldman Sachs & Co.: Thank you, and good morning, everybody.
Vincent A. Forlenza - Becton, Dickinson & Co.: Good morning, David.
David Harrison Roman - Goldman Sachs & Co.: Vincent, I wanted to follow up on your commentary regarding some of the registrations that you're getting outside of the U.S. I guess, firstly, could you maybe give us a little bit more flavor on what those products are, which businesses those fit in, and then, how we should start to evaluate the impact on a go-forward basis? And then, for Chris, can you maybe help us understand why, given the change in currency, there's not a positive impact on the margin profile? Looks like you've just flowed the dollars right down to EPS at the corporate margin guidance that you previously provided, so why wouldn't we see an uplift in profitability associated with the change in rates?
Vincent A. Forlenza - Becton, Dickinson & Co.: Sure. So let me ask Tom to comment first. I mean we'll give you more transparency in terms of the sales and sales impact next year, but why don't you talk to the products that are getting registered and which geographies we're talking about?
Thomas Polen - Becton, Dickinson & Co.: Sure. Hi, David. This is Tom. So as Vince mentioned before, we registered more than 50 products over 20 countries, got about 25 additional registrations submitted and awaiting approval. Essentially, all of those products fall within either MPS or MMS, the two businesses that came from legacy CareFusion, and the majority of those products are actually within MPS, so think disposables. And this is right in line with what we had talked about over the last several quarters that, as we think about the first products that would be able to help drive incremental revenue growth, it would be things like infusion sets, ChloraPrep, the consumables that fit very well with BD's traditional sales channels and market approaches and presence in the marketplaces. And those are the products that we focused on getting registrations for first. So I would say we're seeing some early signs of success, as we've been launching these products, which is very consistent with our plans to achieve revenue synergies and really remain on track to start seeing them materialize more in 2017, but we do see sales now, and obviously, on a company the size of BD and a segment of Medical, we'll see those start showing up more materially as we roll into 2017, but they have started. And I would just say that, obviously, we're going to continue those product registration work, we're continuing the sales and marketing investments to support those initiatives, but overall, we're on track.
Christopher R. Reidy - Becton, Dickinson & Co.: And to your second question, David, we did still see a little bit of a drag in the second quarter on both the gross profit 10 basis points of currency drag and 30 basis points on operating margin and the dynamic there is a couple of things. One is, although the euro hasn't improved, the non-euro currencies, year-over-year, are still providing a bit of a drag and then, secondly, and probably, more importantly, is the phenomenon of the profit and inventory that we've talked about in the past. So didn't quite catch up in the second quarter, certainly, not much of a drag, and it's starting to level off. And that in my prepared remarks was the commentary for the second half of the year, it doesn't really turn positive because of that phenomenon, but it certainly lightens up in terms of headwinds.
Operator: Thank you. Your next question comes from Larry Keusch of Raymond James.
Lawrence S. Keusch - Raymond James & Associates, Inc.: Hi, good morning. I guess, for Tom, would you mind talking a little bit about infusion pump sort of the growth, the competitive landscape, kind of where you think you're going for the year, and then, also as alluded to in the prepared comments, it sounds like the installation process for MedStation ES is improving. I know there've been a number of software tweaks for that ES system over the past couple of years, and just also want to understand if you're kind of getting to a point where that system is now stable.
Thomas Polen - Becton, Dickinson & Co.: Yeah. Sure, Larry. This is Tom. So let me start off with the good Pyxis question, and then, I'll address infusion pumps. So we are actually quite pleased with the progress that we're making on Pyxis. We actually just released another new version of the software, which we think really makes some very significant progress, and actually, addresses – will make a big step forward in terms of installation efficiency. So as we've shared in the past, we were really focused on improving the installation process. We've shared that there was a quite large backlog at the time of the acquisition. And to really address that backlog, we need to improve the installation efficiency process and we've been working on that applying some of our lean expertise, as well as making some adjustments in the software that would automate a lot of that and simplify the workload in the field. So we're seeing a lot of those efforts come to fruition. We did have very strong placements in Q2 that was part of the driver of MMS growth. We continue to see strong demand for the Pyxis ES platform and we're equally looking forward to continued strong growth in the second half of the year in that as Vince alluded to earlier. So on the infusion side, we also are very pleased with the growth that we saw in the quarter here and have similar expectations for the back half of the year. As you know, we are the market leader in that space. We've continued to strengthen our position over the last several years. We expect to continue to strengthen our position in the market by about the same amount this year, as we have over the last couple of years. We do see customers continue to select the BD Alaris pumps in an incremental way, really based on that interoperability and the power of one to be able to do all of their infusion needs across both large-volume infusions, syringes and narcotics, all in one product, the only item that can do that. So we're happy there. I would point out as well that as you look at our safety sales, particularly in the U.S., that was largely driven by growth in some of the connectors that are associated with our dedicated sets in the infusion category, and that's really a reflection of that strong performance in that infusion category and that renewing consumable stream that comes as we place pumps incrementally. Thank you.
Operator: Thank you. Your next question is from Bill Quirk of Piper Jaffray.
William R. Quirk - Piper Jaffray & Co: Great. Thanks.
Vincent A. Forlenza - Becton, Dickinson & Co.: Good morning, Bill.
William R. Quirk - Piper Jaffray & Co: Good morning, everyone.
Vincent A. Forlenza - Becton, Dickinson & Co.: Good morning.
William R. Quirk - Piper Jaffray & Co: Vince, you and the team have done a really nice job in terms of executing on some of the identified cost synergy opportunities with CareFusion. Can you talk a little bit about the pace of identifying new opportunities, either in terms of additional cost synergies or on the revenue side, and obviously, you alluded to some of the products and registration? And then, secondly, just on China, looks like based on the numbers we're going to need about some sort of teens acceleration, easier comps, but can you just elaborate on that? Thanks.
Vincent A. Forlenza - Becton, Dickinson & Co.: Yeah, okay. So I'll ask Chris to talk about the cost synergies.
Christopher R. Reidy - Becton, Dickinson & Co.: Sure. So just a reminder that we raise the cost synergies fairly... (38:14-38:50)
Operator: Ladies and gentlemen, please standby, the conference will resume momentarily.
Vincent A. Forlenza - Becton, Dickinson & Co.: Is anybody able to hear us?
Operator: Yes, we can hear you now.
Vincent A. Forlenza - Becton, Dickinson & Co.: Okay. Go ahead.
Christopher R. Reidy - Becton, Dickinson & Co.: Okay. So let me start again to that question. So in terms of cost synergies, we did, I would remind you, improve cost synergies fairly recently up to the $325 million to $350 million and that was identification of some new synergies from our recent or our original model. I would also remind you that we increased the overall synergies from the standpoint of the tax rate improvements that we saw that we originally didn't contemplate, and that's another 3% accretion that we had mentioned. Really, when you think about the synergies, we get initial synergies of duplicate public company costs, and then, you move into the integration of systems and infrastructure, and we've gotten good traction on that and that led to the last increase and then, towards the end are the more difficult synergies to get, which are the distribution centers and manufacturing plants, and we actually saw some good initial improvements in that area or traction in that area that led to our last increase. So we really feel great about what we're driving. All in, all in, it's significantly higher than our original expectations, particularly when you add the tax synergy. You see this year the EPS quarter-over-quarter was over 44%, I think, is an indication of that. So we really feel good about our ability to drive those synergies and executing on those synergies.
Vincent A. Forlenza - Becton, Dickinson & Co.: And then, for China, growth is going to be driven by the Medical side of the company. And there are multiple businesses on the Medical side that are doing well in China. And then, in addition, there were several million dollars of inventory that came out of the chain last year. So there is a favorable comparison in the fourth quarter. But Tom, do you want to comment on any of the product lines?
Thomas Polen - Becton, Dickinson & Co.: I think as you said, we see the consumables across the board are holding in strong. And we do have, again, while it may not be overly material for the company, China is one of the lead markets in which we launched some of those new products from CareFusion into them. We're seeing some good traction in some of those items, particularly as we think about connectors and some of the oncology products coming out from CareFusion.
Vincent A. Forlenza - Becton, Dickinson & Co.: And we don't talk about it much, but we also have launched flush in China so that's another piece that has been growing quite nicely for us.
Operator: And thank you. Your next question is from Rick Wise with Stifel.
Rick Wise - Stifel, Nicolaus & Co., Inc.: Good morning, Vince. Hi, Chris.
Christopher R. Reidy - Becton, Dickinson & Co.: Hi, Rick.
Rick Wise - Stifel, Nicolaus & Co., Inc.: I guess, I'll ask sort of a two-part question. Maybe first big picture, Vince, maybe you can talk a little bit about your latest thoughts, evolving thoughts on capital deployment. You're through the post CareFusion portfolio review, maybe what's next and what you're thinking about? And maybe just one for Chris, on operating margin expansion, you've addressed a little bit, but this acceleration in operating margin expansion can't go on forever. How do we think about the – not for guidance, but how do we think about fiscal 2017 and beyond, what's possible in terms of further operating margin expansion, just directionally? Thanks.
Vincent A. Forlenza - Becton, Dickinson & Co.: Okay. That's fine. I'll start out and you guys get really good at your single questions. So the two-part is really fantastic. Let me just say from a capital deployment standpoint, of course, short run, we're still working to get down to the three times leverage and we're making excellent progress there. And so, in the short run, we still have the flexibility to do plug-in acquisitions. And then, as we have been stating, we're going to be really strategy-driven, and we challenge both segments to look at their strategies and as we look at our ability to provide solutions to the marketplace and have a broader impact, that's what's going to drive our strategy. It'll be a mix of both internal development and continued looking on the upside and we'll be very balanced there. But ultimately, it's about strategic impact plus value creation for shareholders and that's how we're thinking about it. Chris?
Christopher R. Reidy - Becton, Dickinson & Co.: On the margins, Rick, to your point, the second quarter was really rich margin performance on operating margins 370 basis points, that was driven again by the very strong gross profit margin, which is really going around operational efficiencies and continuous improvement, a little bit of benefit from raw material prices, as we talked in the past from oil, but then on the operating side, SSG&A really reflective of hitting on the synergies. It was a little bit of an easier compare in the second quarter because of the operating margin challenges in CareFusion in that quarter last year. So you won't expect 370 basis points. In fact, we expect about 170 basis points to 190 basis points for the year on the operating margin basis. I'd remind you that's on top of 100 basis points of margin improvement last year, so really improving the margins as you point out. As we think about going forward, as we execute on synergies, you would expect to see above normal, so we usually think 40 basis points to 50 basis points of margin improvement. You're going to get more of that as we execute on the synergies in 2017 and 2018. You would also get a little bit of a lift from the fact that as we exit Respiratory which had challenging margins, you get a little bit of a lift. So not to give guidance on 2017, but you're absolutely right, directionally, we're going to see improved margins going forward in 2017 and 2018. And then, as you start lapping those synergies, I think somewhere beyond that, you start going back to that 40 basis points to 50 basis points. That's a few years out.
Operator: Thank you. Your next question is coming from Derik De Bruin of Bank of America.
Derik De Bruin - Bank of America Merrill Lynch: Hi. Good morning.
Vincent A. Forlenza - Becton, Dickinson & Co.: Good morning.
Derik De Bruin - Bank of America Merrill Lynch: Hey, another long single question, but you've done a number of portfolio reviews lately with Respiratory and the Simplist portfolio. Could you sort of talk about – this is a 2017 organic revenue growth question and sort of like what the impact of all these moving parts are on it, and do you still feel good about a 4% to 5% longer term organic revenue growth rate for the company?
Vincent A. Forlenza - Becton, Dickinson & Co.: Yeah, when we did the deal and we discussed what our revenue aspirations were, we said legacy BD was growing at around 5% and that CareFusion was about 3.5%, and our goal was to bring the entire company up to about 5%. I think we're making excellent progress. I think you see the performance of the CareFusion businesses is quite strong. I think that the portfolio moves that we have made have been the right ones. So that still is our goal and I think we're making excellent progress.
Operator: Thank you. Your next question comes from Jon Groberg of UBS.
Vincent A. Forlenza - Becton, Dickinson & Co.: Hi, Jon.
Jonathan Groberg - UBS Securities LLC: Good morning. Congratulations – can you hear me, (46:23) congratulations on a good quarter. So can I ask you just a timing question on a few items? I guess, one, the infusion set, do you have kind of a specific launch for that, because this is the diabetes infusion set, and then, on the BD Simplist in the Respiratory, I guess, when exactly do you expect all those to close, and if you have any updated views on the EPS and that kind of impact from an EPS (46:51) standpoint for those initiatives? Thanks.
Vincent A. Forlenza - Becton, Dickinson & Co.: Yeah, so Tom can talk to those things, but Respiratory, I think we're expecting to close at the end of this fiscal year. And then...
Thomas Polen - Becton, Dickinson & Co.: Simplist is closed.
Vincent A. Forlenza - Becton, Dickinson & Co.: Simplist is done.
Thomas Polen - Becton, Dickinson & Co.: Simplist is closed. And as we shared in the past, on Simplist, we don't expect any impact on sales from that at all. It was small and the other opportunities will make up for that. In terms of the infusion set launch, as Vince mentioned, we expect broad commercialization in early FY 2017. We are tracking towards by the end of this fiscal year, within this fiscal year, we will be doing a limited launch and we talked about this in the past in which Medtronic will start providing the product to a set group of patients so that they can really understand the user insight at another level before they do the full-scale launch. And so, we're moving forward preparing to ship out the first product for that limited scale launch, in the back half of this fiscal year. That will occur. And then, it would open up for a full commercial launch we expect at the start of FY 2017.
Christopher R. Reidy - Becton, Dickinson & Co.: And this is Chris. The only other thing I'd add is, as we said with the Respiratory announcement, the impact is 2017. Because it closes at the end of our fiscal year, there's no impact to 2016. But for 2017, it's $0.10 to $0.14.
Vincent A. Forlenza - Becton, Dickinson & Co.: Okay. Thanks very much.
Operator: Thank you. Your next question comes from Brian Weinstein with William Blair.
Brian D. Weinstein - William Blair & Co. LLC: Hey, guys. Good morning. Thanks for taking the question. On R&D, it did step down sequentially. You said that, obviously, you're going to get the benefit of the device tax and reinvest that. But can you talk a little bit more specifically about the priorities within R&D? Is it about accelerating kind of current projects? Is it really putting that money to work at new projects? And any specific areas of focus that you would like to focus on with those dollars? Thanks.
Vincent A. Forlenza - Becton, Dickinson & Co.: Yeah, sure, Brian, and thanks for the question. First off, in this quarter, there was some timing in the R&D spending that we knew was going to happen. And of course, that timing, that money is going to get spent. And I'm talking before the medical device tax in the back half of the year. It's timing of things like clinical trials and whatnot. But in addition, the money that is being spent on the medical device tax is being spent in both segments, and it is a combination of some new things that we are doing. But mostly, it's current strategies where we are accelerating those strategies, where we had platforms where we could push them faster, and part of that which is a bit new for us is moving to informatics side of things quicker. So you can think of major platforms going faster, and then, informatics piece on top of that, both sides of the company.
Operator: Thank you. Your next question comes from Richard Newitter with Leerink Partners.
Richard Newitter - Leerink Partners LLC: Hi. Thanks for taking the question. This is kind of like an innings question. What innings are you in for two parts of your business that we frequently talk about? For Pyxis, do you have – just can you update us on where you are with the kind of the opportunity there to kind of get upgrades for that product cycle? And then the second innings question, just the – in your cytology business, your liquid-based Pap testing, can you just tell us what the trend is there? Are we kind of through the interval expansion impact mostly at this point? And just comment on any pricing or volume trends for that business. Thank you.
Vincent A. Forlenza - Becton, Dickinson & Co.: Sure. Let's start with the Pap first, and Linda can talk to you about that.
Linda Tharby - Becton, Dickinson & Co.: Yeah. So good morning. So if you look at the liquid cytology business in the U.S., as you mentioned, we're really starting to see a flattening of that business. So the interval testing, we think, we're mostly through. Outside the U.S., we're actually seeing strong double-digit performance. And then the entire platform, both in the U.S. and ex-U.S., is being helped by the total automation we're doing across both our focal point and our Totalys system, so complete control of the sample from collection through the result. So that's driving a lot of growth both in the U.S. and ex-U.S. for us.
Vincent A. Forlenza - Becton, Dickinson & Co.: Okay. Thanks, Linda. Okay.
Thomas Polen - Becton, Dickinson & Co.: And on Pyxis ES, we're – about 25% of our base business has been converted over to ES. And so, we continue to see strong demand there, and we still do have generally quite a wide runway ahead.
Vincent A. Forlenza - Becton, Dickinson & Co.: Yeah.
Thomas Polen - Becton, Dickinson & Co.: Yeah.
Vincent A. Forlenza - Becton, Dickinson & Co.: Okay. Thanks for the question.
Operator: Thank you. Your next question comes from Doug Schenkel of Cowen and Company.
Doug Schenkel - Cowen & Co. LLC: Good morning. So I don't have a multi-part question, but I do have two questions, one for Chris and one for Tom. The good news is I think they're quick follow-ups. So for Chris, you reiterated full year revenue guidance. You reduced expectations for emerging market growth. That would seemingly imply there's a positive offset for developed market growth. I believe this change in mix should benefit operating margin. It doesn't seem like your guidance reflects that margin mix dynamic. Am I wrong? And if not, why? And then, the second question is for Tom. Regarding your plans for the 25 or so additional CareFusion product registrations, what's the timeline for those? And can you walk us through why those products take a bit longer to get registered? I'm just trying to get a better handle on the profile of those products versus the first 50 that are close to or have been registered? Thank you.
Vincent A. Forlenza - Becton, Dickinson & Co.: Okay. Chris?
Christopher R. Reidy - Becton, Dickinson & Co.: Yeah, just you're not wrong, but at this point in the year, the impact that it has is still within the range of guidance that we gave. So we had a fairly broad range and it's still in that range. So arguably, it's the higher end of the range.
Vincent A. Forlenza - Becton, Dickinson & Co.: Okay. And Tom?
Thomas Polen - Becton, Dickinson & Co.: And Doug, this is Tom. So the 25 is not a kind of a straightforward answer. In fact, it's really a combination of just think about, of course, we couldn't submit all files simultaneously, so it just takes time to work through those. So think about those just being ones that we submitted more recently and didn't work through certain regulatory processes. In other cases, it's a combination of there are even certain countries that have longer registrations. China has longer registration processes than most of Europe, as an example, and then, the other one is that certain product categories. So ChloraPrep, for example, is registered as a drug in many markets, particularly, let's say, Latin America. It's registered as a drug. Those typically sit in the regulatory process longer than medical devices. So it's kind of a combination of those three items, not one thing specific and not unexpected at all. It's right in line with our projections.
Vincent A. Forlenza - Becton, Dickinson & Co.: You have to pull together the data for these files, and so, certain product lines that may not have done that kind of clinical trial work for China, so we had to do some pre-work to get them into the file. That's all that is. Okay. Thanks very much.
Operator: Thank you. Your next question comes from Vijay Kumar with Evercore ISI.
Vijay Kumar - Evercore ISI: Hey, guys. Congrats on a nice beat.
Vincent A. Forlenza - Becton, Dickinson & Co.: Thanks, Vijay.
Vijay Kumar - Evercore ISI: Just maybe one housekeeping question on the guidance, Chris. You beat the quarter pretty handily $0.16 and it looks like FX came in better by 150 bps, but the overall guidance sort of up $0.13 by the midpoint. Just want to make sure sort of – is that a little bit of conservatism on the part of management just because FX has been moving all over the place when you think about, I mean, trying to put the Q in context of FX improving in the back half? Thank you.
Vincent A. Forlenza - Becton, Dickinson & Co.: Sure, Vijay. So what I'd say is you really have to look at the EPS guidance in two buckets. One is the FXN side and then the FX impact. So what we did is we did flow through everything on the FX impact and that was the $0.13. On an FXN basis, you're right, we were up around $0.14 to $0.16, but we see that as timing and the timing buckets are the medical device tax spending which we know where we want to spend it, but because of the timing, don't forget, it happened in January, and we couldn't ramp that quickly. So that past quarter, we really got a lift from that, but we fully intend to spend that in the back half of the year. Then you had timing on the tax rate, so the tax rate was lower than our 21% to 22% and that's just lumpy throughout the year. We expect that to fall back within the rest of the year. So you had that piece. And then, we had the pull forward of some of the revenues from the third quarter to the second quarter and the impact of that. So all of that accounts for the bulk of that $0.14 to $0.16 on an FXN basis. The other thing I'd point out is we actually raised the FXN EPS guidance last quarter by $0.28. It was lost from the standpoint that, at that point, FX was getting worse across the world and it offset that, but the FXN was raised prior. So you really got to think about it in those two buckets.
Operator: Thank you. Our final question is coming from Matt Taylor of Barclays.
Vincent A. Forlenza - Becton, Dickinson & Co.: Good morning, Matt.
Matthew Taylor - Barclays Capital, Inc.: Thanks for taking the question.
Vincent A. Forlenza - Becton, Dickinson & Co.: Sure.
Matthew Taylor - Barclays Capital, Inc.: Good morning. I wanted to see if you could touch on a couple of kind of interesting projects that you've talked about in the last couple of quarters. One is the solutions that you're bringing in with the swap of the Simplist business, and then, the other is the diabetes partnership with Medtronic. Could you talk a little bit about those opportunities and maybe help us quantify the upside there?
Vincent A. Forlenza - Becton, Dickinson & Co.: Sure. So Tom will address those. Tom, you want to start with diabetes?
Thomas Polen - Becton, Dickinson & Co.: Sure. This is Tom. So we haven't specifically sized the opportunity on infusion sets, but I think as we said all year, we're expecting to get the product into some early-stage release in a controlled patient group this fiscal year, and then, really see more of the impact in the Diabetes Care business in FY 2017, that remains unchanged. So we remain very excited about that opportunity, and so, of course, our first venture outside of the pen needles and syringes for the Diabetes Care business moving into a fast-growing market with the market leader, Medtronic, and we're I think equally excited about the product technology and what it can do to help patients and the partnership and what the power of us working together can do to make an impact there. So if you think about solutions, as we, of course, shared before, we have announced the solutions partnership with Fresenius. We are looking at launching that, not necessarily now in Q4 of 2016, but more in early FY 2017, just based on regulatory approval timelines there, but that does continue to move forward. And again, we've not shared a specific number there, but we said it would certainly make up for any reduction in BD Rx sales that we had planned over the coming horizon and that remains right on track.
Vincent A. Forlenza - Becton, Dickinson & Co.: Okay.
Operator: Thank you. I'll now turn the floor back over to Vince Forlenza for any closing remarks.
Vincent A. Forlenza - Becton, Dickinson & Co.: Okay. Thank you very much for your participation on the call today. It was a real pleasure to talk about a very solid quarter and to raise our EPS guidance. It was also a pleasure to talk about the progress we're making on the CareFusion integration and progress with those businesses, the synergies, the teams in place, and then lastly, the strategic partnerships that we're doing including the Parker Institute relationship, the new products that are being launched. We didn't spend a lot of time on the Life Science business today. There weren't that many questions, but with BD MAX, with Kiestra, all of these things happening over there; very, very exciting, and of course, new products on the Medical side. So thank you very much for your time, and we look forward to updating you next quarter.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day.